Operator: Good day, ladies and gentlemen, and welcome to the Q1 2012 MicroVision, Inc. Earnings Conference Call. My name is Rachel, and I'll be our operator for today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Tiffany Bradford of Investor Relations. Please proceed, ma'am. 
Tiffany Bradford: Thank you, I'd like to welcome everyone to MicroVision's First Quarter 2012 Financial and Operating Results Conference Call. In addition to myself, participants on today's call include Alexander Tokman, President and Chief Executive Officer; and Jeff Wilson, Chief Financial Officer.
 The information in today's conference call may include forward-looking statements, including statements regarding projections of future operations and financial results; product development, applications and benefits; availability and supply of products and key components; business partnering expectations; market opportunities and growth in demand; as well as statements containing words like believe, estimate, expects, anticipates, target, plans, will, could, would and other similar expressions. These statements are not guarantees of future performance. Actual results could differ materially from the future results implied or expressed in the forward-looking statements.
 Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements are included in our most recent annual report on Form 10-K filed with the Securities Exchange Commission under the heading Risk Factors Relating to the Company's Business, and our other reports filed with the Commission from time to time. Except as expressly required by the federal securities laws, we undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, changes in circumstances or any other reason.
 The agenda for today's call will be as follows: Alex will first give a business update, Jeff will then report the financial results, there will be a question-and-answer session and then Alex will conclude the call with some final remarks. 
 I now would like to turn the call over to Alex Tokman. Alex? 
Alexander Tokman: Thank you, Tiffany. Thanks, everyone, for joining us this morning. In February, we articulated MicroVision's 3 core objectives for 2012. They are: securing OEM commitments to use our second-generation high-definition PicoP display engine that is based on direct green lasers, I'm going to refer to it as PicoP Gen2 for simplicity; the second one, launching this technology with our partners; and finally, transitioning to our core Image by PicoP ingredient brand and licensing model. It is important to point out that all 3 goals are interrelated under the third goal, the transition to Image by PicoP ingredient brand licensing model. This goal is articulation of our overall business strategy. And in turn, it dictates our behavior in how we are pursuing the other 2 goals, specifically pursuing deals with OEMs, as well as how we execute our Gen2 technology go-to-market plan with our supply chain partners. 
 As a result, I'm going to start discussion with the business model first. In February of this year, we laid out a plan to transition to this model. We aggressively implemented this plan and have defined 3 go-to-market paths for our customers. The first path is targeted for large OEMs with established supply chains who want to get to market sooner. Under this option, MicroVision would provide key subsystems of the engine to OEMs. The customers would manufacture and integrate the engine and incorporate it inside their own products. MicroVision would receive an upfront license fee and royalties on sale of components and products. 
 Path #2 is targeted for major OEMs who can and wish to do full vertical integration of MicroVision's PicoP technology. Under this option, MicroVision would license IP and provide systems control software, our secret sauce. The customer would build all the components and manufacture the engine to embed it inside their own products. Under this scenario, MicroVision would receive an upfront license fee and royalties on the future product sales. 
 Finally, there's path 3, under which we sell PicoP display engines to OEMs that are interested in a low-volume product that would yield a high margin for MicroVision. This option is targeted at customers outside of the consumer and automotive markets, typically customers who do not have ability to produce the engine but can implement it inside their products. 
 Under this option, MicroVision would provide the display engines that will be manufactured by one of our selected OEM partners. Customer would manufactured their own product and embed our technology inside it. Under this scenario, MicroVision will receive nonrecurring engineering fees and revenue from engine sales. 
 All 3 of these go-to market paths require some level of engineering support for all the customers. We're committed to providing our expertise in order to make them successful, obviously. We have identified in each path -- an opportunity in each path and are pursuing them right now. We believe today that path #1 represents the largest near to midterm growth opportunity for MicroVision and our shareholders because it offers an optimal balance between the time and cost of getting to market. 
 Our productive and successful business and technical relationship with Pioneer to date is a perfect example of the business model described under path 1.
 For technology companies, as many of you know, a key to success is continuous innovation, and we will continue our investment in innovating the PicoP display technology to advance the features and capabilities of this patented solution and introduce new generations of products in support of our customers' roadmap. 
 From the business model, then I'll move onto the other 2 goals: securing customer commitments and commercializing PicoP technology. Let me start with the first one. Recall that in February we reported that we had began shipping PicoP Gen2 design samples to customers to begin their evaluation phases. Since, we delivered additional samples to several new players. Our engineering and operations team made visible progress towards completion of the detailed design of Gen2 engine, working very closely with Pioneer and several other suppliers. We received new orders for PicoP Evaluation Kits in the first quarter, including an order from a major Tier 1 automotive supplier and an order from a large industrial customer who is interested in applying our technology to improve productivity in their factories. Both could be potential customers for our Gen2 technology in 2013.
 Overall, we're targeting major OEMs who fit into the licensing and royalty business model we laid out at the beginning of this call and in February. We believe through previous discussions with these types of customers that this is the business partnership they'd prefer. They have -- the benefit of this type of partnerships is that the largest segment players can drive the adoption with lower component costs and it reduces the business and market risks for MicroVision and our shareholders. A very important takeaway is that, again, we begin on schedule delivering PicoP Gen2 design samples for evaluation at the end of February to several prospective customers and are expecting to hear their decisions starting this summer.
 Now let's move onto update on the goal of launching the engine. As you're all aware, we recently announced the completion of important definitive license and distribution and supply agreements with Pioneer. Under these agreements, Pioneer will produce PicoP Gen2 display engines for its own automotive aftermarket products and will pay MicroVision royalties from sales of these products. Pioneer will also supply key subsystems of this technology to MicroVision, who will provide it to our customers in other verticals. The signing of these agreements represent, as you can imagine, a major milestone towards achieving our 2012 goal of launching our technology inside first Pioneer's product, which is targeted for midyear. 
 What about green lasers, you probably wonder. Direct green lasers appear to be on track for Pioneer's product launch. As we discussed in February, we believe that direct green lasers will meet the requirements for automotive applications at launch, and we continue to develop the system enhancements needed to address consumer application and expect the consumer version of the PicoP Gen2 technology will be available soon after. 
 In summary, we believe that all the elements to see the first product based on our second-generation technology is on track to be in the market around midyear.
 Now that I've given you update on the 3 primary goals for the year, let's come back to the business model and let's take a look at the long-term financial value of this ingredient brand licensing and royalty model. Remember, we said that we expect that it will reduce operating capital requirements for MicroVision. It will leverage strength of OEMs to own the supply in high-volume manufacturing of engines and products. It capitalizes on the investment we've made in creating our patented display technology, and it facilitates continuous advancement. It offers also opportunity for us to receive upfront licensing payments to support customers before, during and after the decision  phases. It will provide a long-term revenue stream from royalties when OEM products hit the market in the future.
 And thus, in order to better align to this model, in April, we've taken actions and implemented several operational measures, including the realignment of our resources that will allow MicroVision to reduce operating requirements by approximately 50% starting in the second half of 2012. Jeff will outline the details of this initiative in a moment. 
 This operating plan will support critical activities that will drive our growth, including the delivery of Gen2 design samples to OEMs and ODMs this year, including support customers before and after the design and evaluation phases and also enhancing the capabilities of our technology and proliferate our technical roadmap. It will also help MicroVision to address the recent changes in the market that would have increased the financial obligations of the company required to ramp the supply chain in order to produce high-volume offering. 
 Our experience with Pioneer and discussions with major OEMs in the consumer electronics sector indicate that this licensing model is preferred and is a more cost-effective approach for all people involved to get solutions to market. A number of factors have converged making now the right time for us to transition to the Image by PicoP business model. First, it's the maturation of direct green laser technology that offers cost, performance and size conducive to all markets we're targeting. Second, it's the availability of the Gen2 design samples based on the direct green laser technology. These samples highlight performance, size, power cost advantages to MicroVision's scanned beam laser platform for a multitude of Pico projection applications. Third, it's our strong intellectual property. And finally, the increased global interest in the Pico projection market. 
 So to summarize the discussion I just covered, we have made important progress on the 3 core objectives for 2012, and we continue to aggressively pursue these goals moving forward. 
 Let me now pass the microphone to Jeff to cover the financials and some of the details on the initiatives I just discussed. 
Jeff Wilson: Thank you, Alex. I would like to start with our recent actions to align our operating and personnel  costs to our ingredient brand strategy. First, since our OEMs will be assuming a greater portion of the PicoP engine integration, we plan to require lower working capital going forward. In addition, we are taking steps to further reduce our product development, sales, marketing and administrative expenses. And finally, we have reduced our personnel costs to align to our strategy. We expect the reductions in working capital, operating expenses and personnel costs should result in an approximately 50% reduction in our cash used in operations in the second half of 2012. 
 With that background, I'd like to cover the 3 additional areas: our revenue, operating results, and finally, our cash position as of the end of the quarter. Our revenue for the first quarter increased 55% to $1.7 million, compared to $1.1 million for the first quarter last year. Our revenue for the quarter was comprised primarily of sales of our SHOWWX product and our Gen1 PicoP engine. We plan to continue to sell our existing inventory of SHOWWX products through the next quarter. And our backlog at the end of the quarter was $1.5 million. 
 Next, for operating results. Both our operating loss and net loss were $9.8 million, or $0.58 a share, for the first quarter of this year, compared to $9 million, or $0.70 a share, for the first quarter a year ago. The loss for the first quarter includes an increase in our inventory reserves of approximately $2.2 million for Gen1 PicoP component inventory in excess of our current sales plan. As I discussed earlier, we're aligning our sales and marketing efforts to support our PicoP Gen2 technology and minimize our overall cash usage. 
 Finally, moving to our cash position. For the first quarter, we reduced our cash used in operations to $6.2 million from $8.1 million for the first quarter a year ago. We continue to aggressively manage our cash position and have taken steps to further reduce our cash used in operations in the second half of 2012 by approximately 50% from the Q1 2012 levels. These steps, including reducing our working capital requirements, operating expenses and personnel costs, we're confident that these steps allow us to greatly reduce the amount of additional cash we will need while still achieving our goal of making the PicoP Gen2 display technology available to others this year. As of March 31, our cash balance was $6.8 million. 
 With that, I'd like to open the call for questions. 
Operator: [Operator Instructions] Okay. Your first question comes of the line of Mike [indiscernible]. 
Unknown Analyst: So on the various -- you mentioned sort of 3 business models you're targeting with, maybe your #1 with Pioneer being the most visible. Can you talk a little bit about the average selling price you're seeing kind of by each of those 3 categories? What do they kind of flush out to be? 
Alexander Tokman: It's a very good question, Mike. There's no single answer because the price is dependent heavily on the applications that each OEM will target. So the consumer prices will be more aggressive. The automotive would be slightly less. And then the verticals, such as industrial, medical, et cetera, will have higher margin solutions. So fundamentally, our goal, as we move into component and licensing royalty strategy to get some margins, and that's one of the reasons we defined this strategy 6 years ago and we transition in this year. 
Unknown Analyst: And then, in terms of just volumes that you think are potentially doable this year, what's the -- apparently the direct green lasers being available and you have some partners that can do manufacturing, what kind of volume range are you thinking maybe second half of the year? 
Alexander Tokman: Today, as we understand that, is that there will be sufficient -- more than sufficient green -- direct green laser volume from at least one of the green laser suppliers to fulfill Pioneer's launch starting around midyear, in the second half. And they've indicated that they -- additional quantities necessary to fulfill new customers as they become developed and available. 
Unknown Analyst: Great. And then just a minor financial question. What was the stock-based comp expense in the quarter? 
Jeff Wilson: Give me just a second here. I have that. 
Unknown Analyst: I guess one other question. You talked about some business models here where you get upfront royalty payment or upfront payment and then royalties follow. When you get an upfront payment, what sort of percent of the expected, I don't know, year revenues would that be? 
Alexander Tokman: It's a great question. We can give you the ranges, but fundamentally, again, it's going to depend on several factors -- the level of exclusivity. So obviously, the less exclusive relationships, the less upfront license fee we would be seeking and negotiating. And it increases as the level of exclusivity -- whether it's regional, temporal -- is increasing. So really, there's not a single number that can point out to. But fundamentally, the royalties, obviously, will come once the design win  is -- licensing win is completed and the customer launches their product. 
Jeff Wilson: That stock-based comp number was about $400,000. 
Operator: Your next question comes from Joel Achramowicz from Merriman Capital. 
Joel Achramowicz: Alex and Jeff, I was wondering -- Alex, in particular, could you perhaps give us just some color on your thoughts on OEM, current OEM discussions, particularly in the more aggressive consumer space and maybe some color on when do you think we can see some traction in that regard that might really drive the model that you've discussed? 
Alexander Tokman: Yes, Joel. We're -- our current target was about 15 prospective OEMs. And today we shipped design samples to a handful of them and continue to increase this number. As I mentioned during the February call, the evaluation phase is typically pegged between 1 to 6 months during which they test drive our technology to validate, to make sure it meets the performance parameters that we specify, as well as -- this is also an important factor -- assess their own internal product plans. Does it match to their product design cycles? Do they have the budget to execute this? So this is the period we're in the middle of. We started it at the end of February, and I think by summer, we will have a lot more indications and information to update you on. 
Joel Achramowicz: But I mean, your initial thoughts in your discussions with these prospective partners is positive. I mean, have they -- any color on what their thoughts are, response from looking at the Pico projection Gen2 module? 
Alexander Tokman: Well, just the fact that a subset of these already paid for the design samples [indiscernible] our relation shows that they have expressed some interest. And again, as you know, we've been in discussions with some of these players for several years. They finally see the direct green lasers solution that offers cost that is conducive to specifically consumer markets. And now they all came in back and evaluating -- they're asking for the sample so they can basically assess it to their product lines. And as I mentioned to you, they are right now -- some of them in the middle of this evaluation; some will be receiving it soon. And we will know -- by summer, we should have some indication from some of these what they want to do to go forward. But interest obviously has always been there and it is there now, and there's more confidence in supply, particularly in the supply of direct green laser. 
Joel Achramowicz: And you'd talked in last quarter that there is one source for direct green lasers, but you feel very confident there will be multiple sources by summer. Is that still on track? 
Alexander Tokman: Right now we have -- good visibility is that at least one will be ready for Pioneer's launch and the 2 -- the other 2 that we indicated have expressed -- basically, have given us updated guidance, which I told during the last call. That is somewhere in the second half of 2012. But fundamentally, we feel comfortable about getting to market, first with Pioneer and having the laser to do it. And we feel also comfortable that if we have -- when we have customers asking for increased volumes, we should have sufficient volume of direct green lasers to fulfill them. 
Joel Achramowicz: Very good. And then the last question, just to -- I mean, do you see a potential for perhaps accessing strategic capital from some of these partners? 
Alexander Tokman: That's always one of the goals, and a lot of these partners think they're already investing heavily by trying to incorporate our technology inside their products because it's not an inexpensive proposition. But yes, absolutely. When Jeff and I talked about that we're pursuing different venues of getting -- raising capital, and we talked about strategic investors, in many cases, we're referring to some of the potential go-to-market partners full products, yes. 
Joel Achramowicz: And another. Just one final question, Alex. Do you see the potential -- you have a huge patent library -- of perhaps selling some peripheral intellectual property in order to raise capital? 
Alexander Tokman: We always look for opportunities to monetize IP and, of course, we're looking for these opportunities. And again, when something materializes, we're happy to update you on the development. 
Operator: Your next question comes from the line of Mike Scott from Stephens. 
Mike Scott: A question I have, I guess, is little simplistic, but to the extent that we finished financing, I guess last December or whatever, and followed on by a reverse split, apparently, I mean, with all likelihood, that's what I wanted to know, notwithstanding the DLGs -- the GTLs that are going to go out maybe midyear or midsummer, midyear, late fall, what's the likelihood with $6.8 million in cash, and I guess your burn rate is going to about roughly $4 million for this coming quarter, give or take, what's the likelihood of us having any kind of prospect of meaningful sales to be able to even fund the company at this point to the extent that -- I mean, I don't know what's out there. I mean, in terms of the Pioneer deal haven't being released, I guess you're not going to. But I think I'm fair to assume we can't run a company selling kits. So what point or can you tell me what point you think are we in the neighborhood to be able to actually turn this into a revenue-producing thing where we can actually go cash flow positive? 
Jeff Wilson: Sure. Let me take a shot at that one. So we ended the quarter with, as you pointed out, with $6.8 million in cash. We've taken some actions to reduce our burn rate by approximately 50%. As of the licensing model, one of the things we're expecting to do is to get upfront licensing fees. We have Pioneer coming online and that will start to generate royalties and component sales revenue in the second half of the year. We continue to sell our SHOWWX product line. So we think with those things that we have actually -- the steps we're taking will accelerate our time to break even. And of course, the timing of that will depend on when OEMs -- the timing of the OEMs' launch of their products. 
Alexander Tokman: And just one correction, Scott. When Jeff described that our burn for the first quarter was $6-plus million, and we implemented measures to reduce it by approximately 50%, we expect to have a quarterly burn rate below $4 million. 
Mike Scott: That's fine. I mean, again, I guess, the question I would ask to follow on Jeff's comments, is the Pioneer deal alone, assuming that no other deals are signed or no other royalties or amounts of public payments are received, is that deal alone going to produce the kind of revenue we're going to have the needed cash for the company till year end? Or whether it would require additional deals to come online? 
Alexander Tokman: We obviously need other deals to come online. And let me describe to you, we have a target of 15 customers. We distributed the design samples. We're discussing the after-date -- it reached a certain point that they're comfortable about our technical merits. We're discussing the pricing, and we're discussing the time, and we're discussing all of the pieces of all the attributes I described: licensing fees, royalties, timing, et cetera. We believe we generate additional orders, and that's what the company is focused going forward right now: to generate some new licensing wins to facilitate revenue that will come from Pioneer. 
Mike Scott: So -- I don't want to put words in your mouth, but we do think that with the current deal at Pioneer, in the likelihood of a couple of deals or a deal or 2 more coming on the rest of the year, that should be enough, hopefully, to fund the company's progress and not needing, if you could, I don't know if you could or not, to go to markets for additional capital to complete [ph]  further? 
Alexander Tokman: We're always going to have a balance sheet that allows -- gives you flexibility to invest. And as Jeff and I described earlier, again, we're looking for the new sources of revenue for our new customers, but we're also looking for financing opportunities to enhance our balance sheet. And we're looking at several different options. 
Mike Scott: But from a shareholder's standpoint, I guess, I would say that I don't think that at this point, the temperature would be real good on the financing, first, SG&A. Obviously, if you could point to a deal that would help secure or a series of deals that help secure, I think, the market will be a lot more friendly to it, obviously. So that's all I have. 
Operator: Your next question comes from Jeff Harvey from Janney Montgomery Scott. 
Unknown Analyst: Just a couple of questions on the financing options. Once you start getting some orders from Pioneer, is something that would be bankable? 
Jeff Wilson: That's a great question. I think we have obviously -- we're in discussions with banks on an ongoing basis about the opportunities for doing, I presume you're talking about kind of debt, working capital type of the lines. I would expect that as we have some maturity and with feedback we've gotten from banks is that we have some maturity and predictability around those fees, the sales cycle that we would have availability of working capital lines. 
Unknown Analyst: Or is it possible that some of these manufacturers might also be able to provide that to you? 
Jeff Wilson: That's always a possibility. As Alex said, we've talked to -- we continue to talk to both the suppliers and customers about being strategic investors and things that they can do to support us in our go-to-market strategy. 
Unknown Analyst: Absent something like that -- what do you feel are your options at this point? I mean, as Steve was just talking about, the marketplace I think at this time would not be friendly to a equity offering. Do you feel confident that you have options in order to raise the capital you need here towards the end of the year? 
Jeff Wilson: Yes, I think as Alex pointed out, we have a number of different options for raising additional capital that we continue to evaluate and we'll be prepared to pull the trigger on if needed. 
Operator: Thank you. That now concludes your question-and-answer session. I would now like to turn the call over to Mr. Tokman for closing remarks. Please proceed, sir. 
Alexander Tokman: To close this call, I want to reemphasize that Image by PicoP ingredient brand strategy plays to our strength and hope everybody sees that it allows us to do what we do best: innovate by focusing all resources on continuous innovation of the PicoP platform and applications while freeing us from developing the distribution and supply infrastructure across multiple vertical targets. Second, it allows us to monetize, someone asked just recently, our highly rated IP portfolio and secure revenue and margin from a mixture of licensing fees, component sales and royalties. Number 3, broaden the entry to market for OEMs and ODMs by allowing them to access a piece of the solution that is uniquely provided by MicroVision only, while still relying on their inherent strength to develop, manufacture engine as well as in their own product. Again, this is made possible by maturity in direct green laser technology and the availability of our Gen2 technology this year. Finally, it allows us to reduce the operating cash requirements. And as Jeff mentioned, it reduces our dependence on the external cash. Now we believe it accelerates our breakeven point as well. Our Pioneer partnership serves as an evidence that a model in which OEM or ODM does the integration and volume manufacturing of the engine for their own product can approach to get to market for all parties involved. 
 At this point, I would like to adjourn the call. Thank you for joining, and we'll speak in 3 months. Thank you. 
Operator: Thank you for your participation today in today's conference. This concludes the presentation. You may disconnect. Good day.